Operator: Before we get started, let me remind everyone, that through the course of the teleconference, Kinsale's management may make comments that reflect their intentions, beliefs and expectations for the future. As always, these forward-looking statements are subject to certain risk factors, which would cause actual results to differ materially. These risk factors are listed in the company's various SEC filings, including the 2017 Annual Report on Form 10-K, which should be reviewed carefully. The company has furnished a Form 8-K with the Securities and Exchange Commission that contains the press release announcing its third quarter results. Kinsale's management may also reference certain non-GAAP financial measures in the call today. A reconciliation of GAAP to these measures can be found in the press release, which is available at the company's website at www.kinsalecapitalgroup.com. I would now like to turn the conference over to Kinsale's President and CEO, Mr. Michael Kehoe. Please go ahead, sir.
Michael Kehoe: Thank you, Operator, and good morning everyone. With me today are Bryan Petrucelli, Kinsale's Chief Financial Officer; and Brian Haney, Chief Operating Officer. After some introductory comments, I'll pass the call to Bryan Petrucelli who will review Kinsale's financial highlights for the quarter, and then over to Brian Haney who will provide some commentary on our quarter and discuss our market outlook. We usually like to begin these calls with a quick recap of the Kinsale's strategy which combines discipline underwriting and claims handling with technology enabled low costs to deliver attractive returns in growth to our stockholders even in competitive market like we have today. Kinsale we focus on smaller accounts within the E&S market, the excess and surplus lines market. We target hard to place accounts. We carefully manage the coverage we provide in part to minimize inaccuracies in the underwriting process, and unlike competitors we maintain absolute control over the underwriting and the claim management process and we do not outsource those functions to external parties. All of these strategies drive Kinsale's attractive loss ratios. In addition because of our proprietary technology and automation combined with a healthy owner operator business culture, Kinsale operates with an enormous expense advantage over many larger competitors. The combination of discipline underwriting and claims handling combined with low costs is an in-game winner every time. A couple of comments on the recent storm activity. As you recall, Kinsale rates catastrophe expose property what we think the margins in that business are compelling but we do so with a measure of conservatism in order to limit the volatility of the line, and specifically I'm talking about disciplined underwriting approach, strict limits on the concentration of business in any one geographic area, we regularly model the book of business and of course we buy a fairly robust reinsurance program. As a consequence of this approach, Kinsale's recent catastrophe experience has been consistent with both our risk appetite and our expectations. Our current estimates for the Florence losses are about $300,000 and Hurricane Michael current loss estimates are about $4 million pretax. And with that, I am going to pass the call over to Bryan Petrucelli.
Bryan Petrucelli: Thanks Mike. The results for the third quarter were in line with our expectations. We believe that 84.6% combined ratio for the quarter is a market leader and continues to demonstrate strength of our low cost model particularly in periods of intense price competition. We reported net income of $11.9 million for the third quarter of 2018, a 184% increase over the $4.3 million reported in the third quarter of 2017. Net operating earnings increased by 153% to $10.6 million compared to $4.2 million last year. Increases in net income and operating earnings are largely driven by the cat losses in 2017, an increase in net investment income and a reduction in the company's effective income tax rate. Our effective income tax rate was 17.1% for the first nine months of 2018 compared to 30.5% last year and lower primarily due to impact of the Tax Reform Act. The company generated underwriting income of $8.4 million and a combined ratio of 84.6% compared to $2.5 million and 94.5% last year. The combined ratio for the third quarter of 2018 included four points of net favorable prior-year loss reserve development compared to 6.4 points last year. There was no meaningful cat activity for the quarter however cat losses contributed 17.9 points to the combined ratio in the third quarter of 2017. Annualized operating return on equity increased to 15.4% for the first nine months of 2018, and in line with our mid-teens guidance compared to 11.4% last year. First written premiums were $69.5 million representing a 25% increase over the third quarter of 2017, and continue to be generated from an overall increase in underwriting activity across most lines of business. And Brian Haney will give in a little more detail on that in a bit. On the investment side, net investment income increased by 47.7% over the third quarter of last year to $4.1 million from $2.8 million as result of continued growth in investment portfolio and rising interest rates. Annualized gross investment returns increased to 2.9% from 2.4% last year. Basic and diluted EPS were $0.55 and $0.49 per share respectively for the quarter compared to $0.20 per share for both last years. With that, I'll pass it over to Brian Haney.
Brian Haney: Thanks Bryan. As mentioned earlier, premium grew 25% in the third quarter which is higher than the rate for the first two quarters of the year all but one of our 17 divisions grew. The Allied healthcare commercial property and management liability divisions all grew robustly. Our business was up 39% for the quarter. Overall submission continued to increase at a strong pace. Submissions in the third quarter were up 24% over the third quarter of 2017. We look at this as a good leading indicator for where the business is going and the vast majority of our 17 divisions had positive growth and submissions. Given the growth has been easier to come by we have looked to push rates up where appropriate. We have a very heterogeneous mix of business so it's difficult to boil all the various rate movements down to a single number but as we had to do that, we’d say the number was somewhere in the 2% to 4% range. The market continues to be in a transitional state. Some areas like Allied health and commercial auto are definitely experiencing some firming other areas not so much. As we noted in the past few years, there is some stress in the program space which tends to narrow to our benefit. While we ourselves are in the program space and we don't give up underwriting authorities at third parties, we do tend to see more opportunities when competitors programs are experiencing poor results and having to shed business or shutdown. I suspect the industry will continue to see more poor results coming out of some programs in the next few years. We continue to feel good about the state of the market and about our competitive position. Submission growth is good and accelerating, we're taking rate where appropriate and we expect to continue to do that and perhaps press even more in that regard, results are good. We continue to make incremental improvements in our internal processes to get out more folks and get them out faster which should allow us to capitalize better on the opportunities that come our way. And with that, I'll turn it back over to Mike.
Michael Kehoe: Thanks Brian. Operator, we’re now ready for any questions in the queue.
Operator: [Operator Instructions] And our first question comes from line of Mark Hughes from SunTrust. You may begin.
Mark Hughes: The 24% growth in submissions, I wonder if you could anyway to break that out in terms of the kind of the buckets it’s coming from new relationships with the wholesalers, just people penetration you name it?
Michael Kehoe: I would say it’s very widespread, so it’s not to break it out into one class or segment. Some of it is certainly coming from new producers but most of it is just coming from just getting more traction with the producers and products we already have?
Brian Haney: I’ll just tell - the E&S market I think is growing at a pretty good clip now as well so that’s failry part of it as well.
Mark Hughes: The expense ratio in the quarter was still quite good but at the higher end at the recent range is anything unusual this quarter would I think you done 24% area low 24. How would you see that going forward, is this a good level or should it go back to the lower end of the range.
Bryan Petrucelli: I would say Mark there is always some natural variability from quarter-to-quarter on expenses. I think that 25% to 25.5% or 26% loss ratio is probably in line with our expectations. I think what you're seeing in some of those quarters that were little lower particularly the third quarter of 2017. If you remember we did have some cat activity, and those losses would have sort of a negative impact on the variable comp that we booked for the quarter. So I think that's what you're seeing there.
Mark Hughes: And then the pretax impact from Michael as opposed to Florence, $4 million on Michael, could you talk about what exposures you have there that make that more meaningful?
Michael Kehoe: It's all personal insurance business. Our personal insurance targets manufactured homes from basically the southeastern coastal communities. So, it was exclusively a personal insurance event for us. But again the size of the loss was consistent with our business plan and our risk appetite.
Operator: And our next question comes from the line of Jeff Schmitt from William Blair. You may begin.
Jeff Schmitt: Aspera obviously growing at a high rate here it has been growing at a pretty high rate for some time. How big is that book now and is there - how many states are using that now?
Michael Kehoe: The book is growing at a good clip in part because we're expanding geographically. Couple of years ago I think we were in two states, Florida and South Carolina. Now we have business from Texas up to the Mid-Atlantic. And we expect the geographic footprint to continue to grow. I don't have off the top of my head the numbers there but you can - at a dozen or so. And we're probably right, I think somewhere in the low-to-mid teens this year in terms of premium volume.
Jeff Schmitt: And then just looking at the underlying loss ratio up close to 400 basis points in one of the last quarter, can you maybe discuss what's driving that, how much is big business mix shift versus are you seeing any changes in underlying trends?
Michael Kehoe: Yes, I think you're referring to our current accident year loss ratio, when you exclude changes from prior periods is slightly higher. I think in general, we feel very good about the profitability of the business. So there's no pretentious trend that we're concerned. But there is steady lost cost inflation that we always take into account in our pricing. But I would say in general we try to be very conservative in how we reserve. The goal is to set the reserve high enough that they're very likely to develop favorably over the years ahead and so you know in general I would attribute it to - we're executing that strategy, always looking to put up conservative numbers but in general I think we feel very good about the bulk.
Jeff Schmitt: And just one quick one on the tax rate, 15% for the quarter, 17% year-to-date. I think you had guided to more like 19%, is there a change in guidance at all there or…?
Bryan Petrucelli: I wouldn't say changing guidance. I think one thing that's difficult to predict and whenever there is any stock options that are exercised, you do get a tax benefit and that's going to vary from quarter-to-quarter. I think the 19% of the good guide - if there is heightened level of stock option exercises obviously it's going to be a little lower.
Operator: And our next question comes from the line of Mark Dwelle from RBC Capital Markets. You may begin.
Mark Dwelle: Couple of mine have already been covered but just a quick numbers kind of question. On the net-to-gross premium retention little bit lower this quarter than some, is that just timing or mix or is there some more fundamental change?
Michael Kehoe: That's a fairly mix of business. We seed off a high percentage of the premium on our excess casualty business, where we put up larger limits. We see it all kind of a medium level if you look at some of our property lines where we have a risk cover and the cat cover. And then on our primary casualty, we keep that business net. So as the mix shift a little bit you're going to see a little bit of movement quarter-to-quarter but there's no change in strategy.
Mark Dwelle: And you commented a couple of times in the course of various remarks just about the E&S market growing. Would you view that growth as a migration of risk from the standard markets to the E&S versus just primarily a function of a kind of a stronger economy and lots of new business and construction and whatnot?
Michael Kehoe: I think it both right. So in period of strong economic growth a lot of business formations, new businesses typically start in the nonstandard market and that they can migrate away down the road. But I think there is a long-term trend where the nonstandard or the excess in surplus lines market is taking market share if you will from the standard market. Thinking of the A.M. Best report that came out about a month ago where they look back I think over a 20 year period. And the E&S market went from about 7% with the commercial P&C market 20 years ago to about 14% or 14.5% today. So it’s a long steady growth of one market at the expense of the other although not every year you know it does ebb and flow.
Operator: And our next question comes from the line of Mark Hughes from SunTrust. You may begin.
Mark Hughes: You talked about hardening pricing perhaps in Allied health and commercial auto, just give us an update of how close the pricing might be in the commercial auto category. When could it possibly get little more interesting for you?
Michael Kehoe: Tough question to answer, I mean it’s definitely getting there and we are definitely looking at new products all the time, and some of those products are related to commercial auto but we’re not there yet.
Mark Hughes: How roughly speaking how far away are you 50%, 40%?
Michael Kehoe: It’s tough to answer, I'd say why not 50%.
Bryan Petrucelli: I mean commercial auto rates have moved up dramatically over the last couple of years in reaction to just in abysmal amount of losses for the industry. Typically when a market is in shambles hey there's opportunity. I think we’re a lot closer than we were three years ago, but again we don’t have a specific number to throw out today, it is something we monitor all the time.
Mark Hughes: And then could you mention again you said one - 16 out of 17 divisions grew and I think you very quickly touched on a few of those. Where were you seeing more growth in the different areas?
Brian Haney: So Allied health is growing pretty well, commercial property, management liability growing pretty well. I mean it is pretty widespread. We got a lot of divisions that are up pretty significantly. Our excess counts in those current pretty well, obviously Aspera is growing pretty well.
Operator: Thank you. And I'm showing no further questions at this time. I like to turn the call back to the speakers for closing remarks.
Michael Kehoe: Okay, well I just want to thank everybody for joining us on the call today. And we look forward to talking to you again down the road in a few months.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a great day.